Operator: Welcome to the Third Quarter 2018 Gildan Activewear Earnings Conference Call. My name is Jackie, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please remember that this conference is being recorded. I will now turn the call over to Sophie Argiriou. You may begin.
Sophie Argiriou - Gildan Activewear, Inc.: Thank you. Good morning, everyone, and thank you for joining us. Earlier this morning, we issued a press release announcing our results for the third quarter of 2018. We also issued our third quarter shareholder report containing management's discussion and analysis and consolidated financial statements, all of which will be filed with the Canadian Securities and regulatory authorities and the U.S. Securities Commission and are available on our website at www.gildan.com. With me on the call today, we have Glenn Chamandy, our President and Chief Executive Officer; and Rhod Harries, our Executive Vice President and Chief Financial and Administrative Officer. Shortly, Rhod will be providing commentary on our results for the quarter and our business outlook for 2018, after which a Q&A session will follow. Today's conference call includes certain statements that may constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties, and other factors which could cause actual results to differ materially from future results expressed or implied by such forward-looking statements. We refer you to the company's filings with the U.S. Securities and Exchange Commission and Canadian Securities regulatory authorities that may affect the company's future results. And with that, I'll turn the call over to Rhod.
Rhodri J. Harries - Gildan Activewear, Inc.: Thanks, Sophie. Good morning everyone, and thank you for joining on the call. During the third quarter, we generated adjusted EPS of $0.57, up 7.5% over last year. We delivered mid-single-digit organic top-line growth, driven by the strength of the activewear category which was up double digits from gains in our key growth areas. Moreover, we were pleased with our execution this quarter considering the shipping limitations we navigated through at Hurricane Florence, disrupted distribution operations in September which is typically our strongest month of the quarter. From an SG&A perspective, we saw cost reductions materialize from the plants we set in motion at the beginning of the year when we announced our organizational consolidation. Our SG&A expenses in the quarter were down as a percentage of sales by 150 basis points, in line with a 100 basis points to 200 basis points target we set and communicated at the beginning of the year. Furthermore, we expect to see continued improvement next quarter as we continue to focus on driving further efficiencies across our organization. The leverage we gained in SG&A offset a good part of the anticipated gross margin pressure for the quarter, leaving us with adjusted operating income slightly above the prior-year level. Now, let me take you through our third quarter results in a little more detail, and then we'll cover our guidance update and our outlook for the fourth quarter. Sales for the third quarter came in at $754 million, up 5.3% over the prior-year quarter. We estimate that we could have shipped another $30 million in the quarter, if not the disruption we faced due to Hurricane Florence. We lost shipping days in our larger distribution facilities in Eden, North Carolina and Charleston, South Carolina as both inbound and outbound shipments were affected due to port and rail closures and the need to temporarily shut down to evacuating employees. So, Florence impacted sales during the quarter although we expect to be able to recuperate about half of those sales in the fourth quarter mostly on the imprintable side. The mid-single-digit sales growth in the quarter, as I mentioned earlier was due to higher activewear sales which were up 12.1% over the same period last year driven by both unit sales volume growth and higher net selling prices. Activewear volume growth was broad based. We continue to see strong growth in fleece products, fashion basics, global lifestyle brands and in international markets. We were again particularly pleased with international sales which were up 28% in the quarter with all markets generating double-digit growth. We also saw strong double-digit growth on the e-commerce side. In the hosiery and underwear category, we generated $142 million in sales this quarter, down approximately 17% over the same period last year. Overall, industry demand in the sock category was down for the quarter according to NPD data. The decline was also largely attributable to sock program losses in the mass channel, which we had previously communicated and continued weakness in licensed brand sales. In addition, out of the $30 million sales impact we saw from Hurricane Florence, approximately $15 million were lost sales in this category as we were unable to fulfill certain replenishment orders since September. Gross margin in the quarter was 29%, down 200 basis points over the same period in 2017. As was anticipated, gross margin was impacted by inflationary cost pressures and the flow-through of cost associated with the supply chain disruption in Central America earlier in the year. Manufacturing costs associated with the optimization and the ramp-up of activewear capacity, particularly for fleece production on the sewing side that we called out last quarter also put pressure on gross margin this quarter. Clearly, gross margin pressure is a theme we've been working against all year, but now as we move into Q4, we expect the combination of higher net selling prices and the positive impact of product mix will be better aligned to offset higher raw material and other input costs in this quarter. SG&A expenses during the third quarter declined 7.1% to $88.1 million. And as a percentage of sales, SG&A expenses improved to 150 basis points over the prior year quarter to 11.7%, mainly due to the benefit of cost reductions stemming from the company's recent organizational consolidation. Putting this all together, adjusted operating income came in at $130.7 million, up 2.6% from $127.4 million last year. Adjusted operating margin for the quarter totaled 17.3%, down 50 basis points as the gross margin decline was largely offset by SG&A leverage in the quarter. Adjusted net earnings of $118.2 million (sic) [$118.1 million] during Q3 were in line with the prior year levels, while adjusted diluted EPS of $0.57 was up 7.5%, reflecting the benefit of a lower share count compared to the prior year. Free cash flow of $118 million came in as expected. The approximate $30 million decline over the prior year with mainly due to higher working capital and CapEx requirements for the quarter. We invested $33 million in capital expenditures in the quarter, primarily in textile capacity and related sewing expansion, distribution, and information technology. If you recall, towards the end of the second quarter, our newest textile facility, Rio Nance VI, commenced operations and is ramping up on plan. We are now producing some of our newer programs for our global lifestyle brand customers in this plant with higher-end performance features and fashion attributes. During the quarter, we continued to execute on our share buyback plan, repurchasing just over 1.7 million shares for approximately $50 million. To-date during 2018, the company has repurchased approximately 12.6 million shares. Finally our net debt level at the end of the quarter totaled $819 million and our net debt to adjusted EBITDA leverage ratio was 1.4 times, in line with our leverage framework. Turning to the outlook, we narrowed our full-year adjusted EPS projection to $1.85 to $1.87 inside our prior range of $1.85 to $1.90 reflecting the results we saw in the third quarter. We reconfirmed our full-year sales guidance of mid-single digit growth, as we continue to project double-digit sales growth in activewear in the fourth quarter, including fashion basics and international growth and shipments under two new private label activewear programs. These drivers along with shipments under a new private label underwear program are projected to more than offset additional expected decline in hosiery sales during the fourth quarter. After reflecting forgone sock sales in Q3 related to the impact of Hurricane Florence, softness in sock demand overall and potentially more weakness in licensed brand sales, we now expect sales in the hosiery and underwear category to be down approximately $125 million for the year, compared to our prior estimate of a projected decline of $85 million. Adjusted EBITDA is now projected to come in towards the lower end of our previous range of $605 million to $620 million and capital expenditures continue to be projected to be approximately $125 million. Free cash flow for 2018 is now expected to come in between $400 million to $425 million versus previous guidance of in excess of $425 million due to higher-than-previously anticipated year-end working capital requirement as we head into 2019; so closer to our original guidance on free cash flow. Our full-year updated guidance implies adjusted EPS in Q4 in the range of $0.42 to $0.44 driven primarily by double-digit activewear sales growth and strong improvement in SG&A leverage. So wrapping up, with three quarters now behind us, we feel good about delivering on our financial targets for 2018 despite the various headwinds we have faced this year. More importantly, we continue to feel good about our long-term growth prospects and the way our strategy is unfolding. At our Investor Day in March, we talked about the kinds of changes we're anticipating and seeing in the marketplace both for our imprintable products and in the retail space. When you look at 2018 so far, there have been clear signals that retailers are increasingly committed to their private label strategies and developing their own exclusive brands to bring differentiation in the selling floor and providing quality and value for their customers. And in that respect, given our competencies as a large-scale, low-cost vertically-integrated and responsible manufacturer, we feel we're well positioned to pursue this opportunity. During the third quarter, we secured a large private label men's underwear program for 2019 with our largest mass retail customer. The shelf space allocated to our current men's wear underwear program within this retailer will be increasing and allotted to this new program which we'll be manufacturing under the retailer private label brand in 2019. Overall, beyond this positive news, we're encouraged by the developments we're seeing in all markets and we will continue to capitalize on opportunities that work for our customers and align with our capabilities and our strategic drivers, including building on our momentum in fashion basics, international markets with global lifestyle brands, e-commerce, our growing underwear business and a more stabilized hosiery platform. We are executing on our plans in enhancing our positioning and remain committed to delivering our long-term objectives of mid-single-digit top-line growth and high-single-digit to low-double-digit EPS growth and ultimately driving strong shareholder value over the long term. Thank you. And I'll now turn the call back over to Sophie.
Sophie Argiriou - Gildan Activewear, Inc.: Thank you, Rhod. That concludes our formal remarks. Before moving to the Q&A session, I ask that you limit the number of questions to two in order to get everyone the opportunity to ask a question. We will circle back for second round of questions if time permits. I will now turn the call over back to the operator to start the Q&A session. Jackie?
Operator: Thank you. We will now begin the question-and-answer session. Our first question comes from Mark Petrie with CIBC. Please go ahead.
Mark Petrie - CIBC World Markets, Inc.: Hi, good morning. I wanted to just ask about that private label contract win and you mentioned total shelf space for men's underwear at that retailer is increasing, but what does that mean for shelf space of the Gildan brand product versus today?
Rhodri J. Harries - Gildan Activewear, Inc.: Well, the shelf space of the Gildan product will transition into the retailer private label and the shelf space will increase approximately 50% with the retailers' private label as we continue to focus on driving their brand strategy.
Mark Petrie - CIBC World Markets, Inc.: Okay. That's great. Thanks. And then, how should we think about expectations for profitability of a contract of that type of size and magnitude?
Rhodri J. Harries - Gildan Activewear, Inc.: Well look, I mean, the company has positioned itself, like we said at the beginning of the year, to realign our shelves through new reality supporting these large private label programs. And if you look at where we're going, I think we're on track as a company to, based on leveraging our low-cost manufacturing, rightsizing our SG&A, which has come down by 150 basis points, but all of that increase, believe it or not, has come out of our old retail cost structure, and we also reinvested a lot of capital into our direct-to-consumer or e-commerce platform. So, we're rightsizing the business. We feel very comfortable that we'll get good returns on capital on all of our private label programs in the future. And it fits in with the criteria that we set to drive the future long-term growth strategy of the company.
Mark Petrie - CIBC World Markets, Inc.: Okay. And then I wanted to just ask about gross margin. Rhod, you mentioned it's been under pressure sort of year-to-date, but you're expecting better balance in Q4 driven by better price and mix. Can you just give us some more detail on the drivers of that exactly, and then your expectations about how gross margin is looking for 2019 given the additional shifts in mix towards more private label?
Rhodri J. Harries - Gildan Activewear, Inc.: Yeah, Mark. So if you look at the way that the margins are evolving, as we've said for the – as we work our way through the year, right, we're going to use price and mix to offset some of the pressures that we were seeing from fiber perspective, and some of the headwinds that we saw from the manufacturing cost standpoint, some of the headwinds, for example, that we called out last quarter, right, as we saw things like supply chain disruptions in Central America, and we've seen ramp-up costs associated with really driving more active wear to a certain extent, some of the inflationary pressure. So we knew that these cost pressures were coming through and we've been managing that with price and mix. And really, if you look at the evolution of the year and as we move into Q4, I think you will really see from a gross margin perspective that the price and mix effectively will allow us to cover the increases we've seen in fiber manufacturing cost. And then clearly we've got this really good drop through of the improvement in SG&A that will be coming through. So if you look at our margins overall and we head to the end of the year we said from an operating margin perspective, we expect that our margins will be slightly down. And now, I think we feel pretty positive about the way we're going to end the year from a margin perspective as far as hitting that. And then as we move into 2019, we got a lot of good drivers from an overall perspective. We're not going to give guidance right now on margin for 2019 where you can see all of these factors are playing through very nicely. From a cost perspective, you've got to remember, we had that $0.08 coming through that we called out last quarter, and then we've had some other impacts in the supply chain from Hurricane Florence, for example, that we'll be dealing with and then all of that basically, for the most part, will work our way through as we head into 2019. So, I think we're well positioned as we end the year and head into the next year.
Mark Petrie - CIBC World Markets, Inc.: Okay. Thanks. And then just a quick follow-up, when you're talking about price, have you taken sort of incremental price action from what was done, sort of beginning of the year?
Rhodri J. Harries - Gildan Activewear, Inc.: We've taken incremental price action and we think that there's definitely room based on the inflationary cost pressures in fiber, labor, transportation, diet, chemicals to support price increases for 2019 as well. So, we're very comfortable that we can lift some price up in 2019. And also, some of the pricing that we increased this year was – hasn't flown through for the full year. So we'll get the benefit of that next year as well.
Mark Petrie - CIBC World Markets, Inc.: And that's across sort of categories and channels throughout?
Rhodri J. Harries - Gildan Activewear, Inc.: It's across all of our businesses.
Mark Petrie - CIBC World Markets, Inc.: Yes. Okay. Thanks very much.
Operator: Our next question comes from Heather Balsky with BOA, Bank of America. Please go ahead.
Heather Balsky - Bank of America Merrill Lynch: Hi. Thank you for taking my question. I guess to start, with regard to the new private label program launch, how are you thinking about the rest of your Gildan branded program and what's the feedback you're getting from your retail partners?
Rhodri J. Harries - Gildan Activewear, Inc.: Well, our Gildan brand in general is still doing very well with all the other retail partners. In fact, it's doing very well online right now and it's growing exponentially. In fact, it's almost doubled its sales online this year. So we're still pretty excited. It's still in our brand portfolio, it's going to be our number one brand of all the brands that we still have in our lineup. So it's got pretty good distribution and we're still excited about it and we think that we're well-positioned. If we leverage our low cost manufacturing, the value equation that we've offered our Gildan brand is still exciting and opportunistic for retailers. So, we're going to continue to support it and we're very excited that we can see in the future it will continue to grow.
Heather Balsky - Bank of America Merrill Lynch: Great. Thank you. And on the last call, you talked about the available capacity at Rio Nance VI. And with this new program, sort of where does that put you in terms of your plan? And how do you think of the build-out to getting to the remaining capacity?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, look, we said last time that we've got a lot of capacity increases coming on. Rio Nance VI is ramping up as we speak and it's going to ramp-up through 2019 to 100% of its capacity. We have incremental capacity coming online in 2019 in both Rio Nance 1 and Rio Nance V. We have excess capacity still available for in our Mexican operations. So overall we have enough capacity to continue supporting the business. And if you look at the drivers for next year, we still have very good drivers between our fashion basics, our international businesses, the rollout of the full year and the private label programs that we're securing in Q4. The launch of our new space in underwear. So really, we're well-positioned and as these private label programs continue to become available, we'll allocate as much of capacity as we can and as fast as we can to support the new opportunity at retail. So I think we're well-positioned to support the growth and we're also well-positioned to continue to drive our low-cost model and our capacity and we also are going to benefit from lower distribution costs as we go forward. We shuttered three distribution centers this year and we also made a big investment in e-commerce. And that will continue to support our e-commerce sales and yet make us more efficient in that process as well. So we're making the investments where we see we need to and we're managing the business to ultimately give us the best returns we can and drive our topline sales.
Heather Balsky - Bank of America Merrill Lynch: Thank you very much.
Operator: Thank you. Our next question comes from Kenric Tyghe with Raymond James. Please go ahead.
Kenric Tyghe - Raymond James Ltd.: Thank you. Good morning. Glenn just a quick follow up on the private label underwear. Given your positioning both in terms of footprint and time to market et cetera, would it be reasonable to assume that there are a number of discussions with respect to private label underwear programs currently ongoing, or that we could expect to have ongoing?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, look, for us, we're going to continue to look at the opportunities that become available. So each retailer has driven his own strategy. So the answer is look there's lots of opportunity and this is a shift we think that's really escalating and we're on the forefront of trying to take advantage of the opportunities. So the answer is yes, underwear is a good category for private label because there's very low SKUs so it meets our criteria. And we're going to focus on the underwear category as really the primary area where we think we should target private label because it's something that we can sell really across all channels of distribution because of the low amount of SKUs to support that business at each one of these retailers it fits well with our capabilities. And we're also looking at working with our large mass retailers on activewear programs. So, everything is working together. We're very excited that we have the capacity to support it, and we're rightsizing the SG&A of the company to take advantage and make sure that we maintain good healthy margins as we go forward.
Kenric Tyghe - Raymond James Ltd.: Great. Thank you. And if I could just switch gears quickly to a comment that was made on the licensed brand sock sales. Is the performance there or the underperformance a function of share gains at retail for private label? Or is there some other dynamic in the license brand sock business that we should be aware of?
Glenn J. Chamandy - Gildan Activewear, Inc.: No. I think it's just a stall point in terms of distribution. But we're working together with our licensors to reinvigorate that business. So we think that that's going to come back. It's just a question of working with our retail partners, and there's been a little bit of a loss of momentum in shelf space. But we feel that that's coming back right now, and the brand has got momentum back. So hopefully we'll see a turnaround in 2019.
Kenric Tyghe - Raymond James Ltd.: Great. Thank you. I'll leave it there.
Operator: Our next question comes from Martin Landry with GMP Securities. Please go ahead.
Martin Landry - GMP Securities LP: Hi. Good morning. I wanted to talk about cotton prices a little bit. You source your cotton needs, I think six to nine months in advance at least. So, you're probably now starting to source your cotton for next year and wondering what should we expect in terms of cotton prices for 2019? Is it fair to say that it could be flat to down versus 2018?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, first of all you've got to take cotton and polyester together and polyester prices have gone up this year and during the year. Obviously because crude has gone up and so forth and capacity requirements, so look we don't want to give out exactly what our cotton costs are, but look at the – there definitely was pressure on fiber, there's pressure on labor, there's pressure on dyes, chemicals, transportation, so inflation is a factor and I think that all that together will support price increases as we go into 2019 not just with us, but I think that's an industry phenomenon at this point.
Martin Landry - GMP Securities LP: Okay. But looking at my screen, it looks like cotton prices have gone down versus where they were this summer and is it fair to say that you're going to – you should benefit from that in the first half of the year?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, don't forget, in the first half of the year cotton you buy nine months. So if you look at the price nine months ago, that's what you'll see in the first half of the year. And then what you see it today, you can project that maybe nine months out and that's a better way to looking at it.
Martin Landry - GMP Securities LP: Okay. Okay. Okay. And then just wondering if you can bridge for us the gross margin decline of 200 bps this year? Is it possible to have the main drivers of that decline?
Rhodri J. Harries - Gildan Activewear, Inc.: I think the way to think about it Martin for the quarter, right, is effectively we had – with the fiber price increases coming through, right? But for the most part again, we were offsetting with price and mix and that for the most part is imbalanced. So for the most part, I would say we pretty well caught up where we were pretty well aligned, especially as we move into the fourth quarter. And then don't forget about those manufacturing cost impacts that we talked about that $0.08 is coming through, right, that's driving negative impact. We called out when it occur in Q3 and to a lesser extent in Q4. So that's really what's effectively driving that, I would say, that gross margin – the negative impact on gross margin, again largely offset by our SG&A performance, right, which was down 160 basis points in the quarter. So, I would say again as we move into Q4 and you really start to see the gross margin come through. Again, I think with the SG&A we'll be well set up as we finish the end of the year.
Martin Landry - GMP Securities LP: Okay. Okay. That's it for me. Thank you.
Operator: Our next question comes from Stephen MacLeod with BMO Capital Markets. Please go ahead.
Stephen MacLeod - BMO Capital Markets (Canada): Thank you. Good morning.
Glenn J. Chamandy - Gildan Activewear, Inc.: Good morning.
Stephen MacLeod - BMO Capital Markets (Canada): I just wanted to focus in here on some of the SG&A. Obviously, you had that savings come through in Q3. And I'm just curious, do you expect a similar sort of magnitude of savings into Q4, (00:26:53) accelerate? And then I guess along those lines, how do you see SG&A evolving through 2019?
Rhodri J. Harries - Gildan Activewear, Inc.: 2019 SG&A will be flattish relative to 2018. There might be some inflation in there, but basically objective is to keep it flat. And even in 2019, we won't materialize all of the cost savings that we think (00:27:18) finally in our portfolio alignment. Some of that will even pull through into 2020. So we're going to continue to be aggressive on the SG&A, and I would say that objective has to be sub 12% as a company on a go-forward basis longer-term and that's one of the targets that we're looking to achieve. So we're heading towards that and probably a function of typically continuing to leverage our cost structure and our distribution capacity and our infrastructure drive top-line sales basically by maintaining a flattish to slightly up SG&A.
Stephen MacLeod - BMO Capital Markets (Canada): Right. And when you say flattish, you mean on a percent of sales basis?
Rhodri J. Harries - Gildan Activewear, Inc.: No I mean flattish in total dollars and there might be a little bit of inflation there, but we're objectively trying to keep it flattish in total dollars for 2019 and there just might be some. On a constant basis, we're flat. There might be some inflation that we won't be able to offset as we go through 2019.
Stephen MacLeod - BMO Capital Markets (Canada): Right. Okay, okay, that's great. And then just on the new private label program that you've secured for next year, can you just give a little bit of context around when that begins to flow through and when we should expect to see it coming through in the numbers? And in terms of the shelf space allocation increasing by I think you said 50%?
Rhodri J. Harries - Gildan Activewear, Inc.: So, it will start in Q2.
Stephen MacLeod - BMO Capital Markets (Canada): Starts in Q2. Okay. And can you just remind us, is it typically a multi-year commitment?
Rhodri J. Harries - Gildan Activewear, Inc.: Look, we're working very closely with our retailers and the commitment is to drive their strategy and we're supporting it. And so typically like anything else it has to be successful in sell through, but I mean obviously we're here to support them long-term.
Stephen MacLeod - BMO Capital Markets (Canada): And on a per unit basis, is there any dampening to the revenue number that you would have expected versus your Gildan-branded products?
Rhodri J. Harries - Gildan Activewear, Inc.: Well I really don't want to say right now because it's not for me to say but I will say that the product will be well-positioned. Look, anything we do in Gildan, we have best value, best quality, best features on all of our products, and we'll continue to support this retailer making sure that they have a great quality product and a great price.
Stephen MacLeod - BMO Capital Markets (Canada): Okay. That's great. Thank you.
Operator: Our next question comes from Vishal Shreedhar with National Bank. Please go ahead.
Vishal Shreedhar - National Bank Financial: Hi. Thanks for taking my questions. I just wanted to take a few steps back and get your insight on how traditionally private label underwear has performed in retail over the longer-term? And also associated with that, if you think that the retail that awarded you that program will change the way it markets the private label?
Rhodri J. Harries - Gildan Activewear, Inc.: Well, I would say that private label has really never been a big factor at retail because there's never been anybody who's been able to supply low-cost manufacturing products – quality products to the retailers themselves. When we started off with Gildan, obviously, we were very successful out of the gate, and even our Gildan brand and consumer awareness of our brand at the time we launched it was almost zero. So, what sold our brand at Walmart really, our mass market retailer, was really the valued proposition of our product, the quality of the product, the price of the product. So that's proven to be successful and change I think the way people look at underwear on a go-forward basis. So I think that the value equation as long as it's there and it's priced right for a consumer, we proven that this products would sell. And the fact is that there's really nobody else that can really provide us especially our geographical hemisphere which is a replenishment program. So we're well-positioned and we're pretty excited about it. We think this is going to be a great program and we'll see what happens as we go into next year.
Vishal Shreedhar - National Bank Financial: Okay. Thanks for that. I wanted – just another long-term question just given all the growth in the printwear business and maybe a little bit of a change here as you focus on fashion more so, international more so, maybe you can talk about in your experience how this business might perform if economic strength fades?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, look, our business is performing great. To be honest with you, I mean our printwear business sales are really strong. It's driven from our fashion basics business which is driven by Anvil, American Apparel, Comfort Colors, the launch of our Amity our fleece, long sleeved fleece POS is performing very, very good. Our international business is very strong. It's up 28% and it's really just supported again by fashion our fashion basic business, and we launched our American Apparel brand there which is doing very well. We're expanding American Apparel into Australia, New Zealand and Japan. So everything we've done, the investments that we've made, the brands we've developed, our manufacturing capacity both in yarn spinning and now what we're bringing on in Rio Nance VI which will only enhance our positioning of our products will help to continue to drive our success with these products in printwear through 2019 and beyond. So, we think we're well positioned. We're going to – the foundation we made through these acquisitions and through the investments we made are really driving our sales and we see that happening and continuing for 2019 and beyond.
Vishal Shreedhar - National Bank Financial: Okay. Thanks. Thanks for your comments.
Operator: Our next question comes from Derek Dley with Canaccord Genuity. Please go ahead.
Derek Dley - Canaccord Genuity Corp.: Yeah. Hi. Just on your private label program, last quarter you mentioned, I believe you were in, you had secured three retail programs and now you've got one more. So are you – what were the additional contracts secured during this quarter?
Glenn J. Chamandy - Gildan Activewear, Inc.: No. We have two activewear programs and an underwear program which is basically secured, which are being rolled out in Q4 and then this new mass market retail program will be the fourth program.
Derek Dley - Canaccord Genuity Corp.: Okay. Got it. In terms of the SG&A initiatives, obviously you guys are hitting your targets of 150 to 200 basis points in leverage. Can you just talk about what exactly some of those cost saving initiatives were? I believe you just said that they were almost solely focused on what was previously your retail division?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, we went through a realignment we're better utilizing our resources by doing a consolidation of obviously, our divisions, back office, et cetera. We're also building much cohesive distribution strategy. We shuttered this year over 1.5 million square feet of distribution capacity. Some of that has come out of the divesting of low-end shops that we used to have that took a lot of space and SG&A to support it. So that was strategically part of our decision to shutter some of that business. But ultimately, we've taken a lot of distribution capacity out. Despite that we even invested heavily in e-commerce capabilities and capacity to be more efficient to support that business as we go forward. So we're really focused on leveraging our SG&A. We're also focused on our overall working capital to be perfectly honest with you and how we go to market with our products and being more focused on the product offerings and narrowing ourselves to make sure that we continue to drive not just low cost, but also working capital. And the thing is we're also looking at – even though our SG&A is focused and with my objective is to bring it to 7% to 12%, we're also looking at significant manufacturing savings. The headwinds that we had that Rhod alluded to before, a lot of those won't happen on a year-over-year basis. We're training significantly today to support our fleece business and we almost doubled our capacity during the year. We're talking about 5,000, 6,000 people just in training and once they get fully trained obviously there's an efficiency thing. We're also going to optimize our textiles with the launch of Rio Nance VI. So we have a lot of other initiatives. So one thing about our company is that we're always constantly looking at ways to get more efficient on the cost side and we're also looking at both, at the SG&A as well. So I think we have a good plan to support the growth going forward and to leverage our operating margins.
Derek Dley - Canaccord Genuity Corp.: Okay. Thank you very much.
Operator: Our next question comes from Brian Morrison with TD Securities. Please go ahead.
Brian Morrison - TD Securities, Inc.: Good morning, Glenn. I appreciate you don't want to get into the details of the economics on the mass contract, but just in terms of high level and winning these contracts you've announced, could you just talk about the competitive process just discuss the level of importance that the key inputs talking about price, production capacity, the quality incumbent relationship. I presume that this morning's announcement was a competitive process. And I just want to understand the inputs of the successful bid to understand future awards.
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, I think that – two things. One is that we're well positioned because the size of the program is quite large, so obviously it takes somebody with the capital structure and the manufacturing capacity to be able to support it. There are not a lot of people I think out there that can actually pull that off. So this is an important part. So we obviously are well-recognized, we see this as an opportunity. We're basically working very closely with our customers to make sure that we understand what the requirements are, to be able to support it and we're working and understanding where they're driving their strategy on their floor, and what makes sense for us. So we're looking at basic replenishment, activewear, T-shirts, sweatshirts, underwear, really is our sweet spot basically. So we know what we have identified, where we can go and if you come to our facilities in Central America, somebody walks through there and says, jeez, look, I can get everything I need here these guys are a one-stop shop, they're low-cost, they're CSR-compliant. So that's our sales pitch, right? So I think we're well-positioned and we're capable of putting all the features required, whatever yarn they need, whatever types of finish they need. So we really got a great opportunity and I think our manufacturing capabilities speak for themselves and we'll continue to leverage what we have and bring on additional capacity to support this opportunity. And as programs become available, we'll continue to work with our retail partners to see what programs meet our criteria and where we can add value to them.
Brian Morrison - TD Securities, Inc.: Yeah. I appreciate all that and I agree with it. Can you just maybe comment, how competitive a process was this?
Glenn J. Chamandy - Gildan Activewear, Inc.: Look, I can't explain to you what type of, was this bidded out? The answer is, no, I don't think it was bidded out. I think we have the capability of supporting this program with our retail partner. If that answers your question.
Brian Morrison - TD Securities, Inc.: Okay. Yeah. Thank you. In terms of e-commerce, obviously continuing to invest. Can you just update to the piece (00:39:21) capabilities? Update on where that stands, what remains outstanding to service all markets, maybe just from a product and geographic perspective?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, we're really focused on U.S. market right now, and we are also focused a little bit internationally on our American Apparel, our direct-to-consumer. We've opened up over 225 countries with that brand. Most recently, we started shipping into Canada. But as far as the omni-channel customers and marketplace customers in the United States, that's really where we've put in a lot of capacity because that's where we see the big opportunity for us. And that capacity is installed now, and we've already seen great success this last quarter. We'll continue to see success next quarter. And we're also looking to add a lot of product onto our marketplace basically where our underwear business is doing very well. Our Gildan brand underwear is doing very well. We have doubled our sales and marketplace sales in the quarter. So we're doing very well. We've got to position the placements as part of the investment we made early on in the year. So we're in position to execute on the opportunity as we go forward. Thank you.
Brian Morrison - TD Securities, Inc.: You bring up American Apparel, sorry, just to squeeze this last one. And you bring up American Apparel, you hadn't really mentioned much about that before. Still on track to achieve the $100 million run rate at the end of the year. I know you updated that last quarter.
Glenn J. Chamandy - Gildan Activewear, Inc.: Yes we are.
Brian Morrison - TD Securities, Inc.: Thank you.
Operator: Our next question comes from Keith Howlett with Desjardins Securities. Please go ahead.
Keith Howlett - Desjardins Securities, Inc.: Oh. Yes. Thanks. I was wondering if you can outline what products are covered by the new private label agreement. Is it just men's underwear or is it a broader group of products?
Glenn J. Chamandy - Gildan Activewear, Inc.: Men's underwear.
Keith Howlett - Desjardins Securities, Inc.: And...
Glenn J. Chamandy - Gildan Activewear, Inc.: This is a shelf space that we have before that's been marched.
Keith Howlett - Desjardins Securities, Inc.: And will that product be marketed under an existing brand of that retailer or will it sort of try to distinguish the enhanced quality and features by using a new brand?
Glenn J. Chamandy - Gildan Activewear, Inc.: I don't want to say anything about the retailer. It's confidential, so wait until it's in stores.
Keith Howlett - Desjardins Securities, Inc.: And is it a product-only with respect to the U.S. market?
Glenn J. Chamandy - Gildan Activewear, Inc.: This program, yes.
Keith Howlett - Desjardins Securities, Inc.: Great. Thanks. And then just finally, can you speak as to how your pick to the piece distribution centers are functioning in the U.S. market?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, I just said, I mean, the focus on our e-commerce business basically is we've got everything in place right now and that's the investment that we go with. Even our SG&A is down 150 basis points or 160 basis points. We've invested early on in the year for that e-commerce capacity basically which is now on stall and it's ready to take on more product. And as we go forward, we're going to list more products online with our marketplace customers basically to support the sales growth for 2019.
Keith Howlett - Desjardins Securities, Inc.: If I could just ask one last question on advertising, as you shift sort of the proportion of business that's private label versus branded, do you anticipate a reduction in the percentage of advertising to revenue?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, what we've spoken today is we're going to spend money on advertising, we're supporting our Gold Toe brand. We're supporting our American Apparel online brand. So we're still supporting our Gildan brand. But what we're going to do is we're going to basically make sure that we spend proportionately to where we see each one of these brands. But ultimately a large portion of all the SG&A reductions this year didn't come from advertising. Actually we increased this and we've got lot of new products being launched, our Hammer tee, et cetera. So, it's really distribution and other things that we've been able to support lower SG&A basically. And I think our advertising is probably more flattish in 2018 versus 2017.
Keith Howlett - Desjardins Securities, Inc.: Great. Thank you.
Operator: Our next question comes from Sabahat Khan with RBC Capital Markets. Please go ahead.
Sabahat Khan - RBC Capital Markets: Hi, thanks. And just a couple of quick follow-ups on this private label program. When we think about 2019 and you talk about the 50% shelf space increase, should we think that the private label is the incremental 50%, or is there some sort of a replacement of some existing branded sales, so it's more of a conversion of some of that shelf space as well, as we think about next year?
Glenn J. Chamandy - Gildan Activewear, Inc.: Basically, our brand will stay there through the first half of the year, and that will be converted to private label, which will ultimately be a larger set in the store that currently is today.
Sabahat Khan - RBC Capital Markets: Okay. And then, will it be sort of a conversion of the entire branded shelf space over time then?
Glenn J. Chamandy - Gildan Activewear, Inc.: Yes.
Sabahat Khan - RBC Capital Markets: Okay. And then just more of looking forward to more private label programs, I guess this one will come into effect Q2. How long of a line of sight do you have to some of these programs? Are you still working on some that could contribute for 2019, or at this point those would anything further would be more of a 2020 contributor?
Glenn J. Chamandy - Gildan Activewear, Inc.: Well, we're always looking and working with our customers. So it'd be more in the back half of the year at this point because they work so much in advance. So, right now, people are looking at the full lineup. But look I think we have today to support our 2019 growth and keep driving our sales after which we forecasted to be at least a mid-single digit growth was driven by our fashion basics for international business, a full rollout of the three programs we're rolling out in Q4 this year for next year, the launch of this new shelf space we have. So everything that we have for 2019 I think is going to keep our momentum growing on the top line. So we're feeling very comfortable of our organic growth as we move into 2019. And it's not just one thing, it's all of the above I think that will continue to grow our sales as we go forward.
Sabahat Khan - RBC Capital Markets: Okay. Great. Thank you.
Operator: Our next question comes from Patricia Baker with Scotiabank. Please go ahead.
Patricia A. Baker - Scotia Capital, Inc.: Yeah. Good morning, everyone. Actually my questions have all been answered. So, I don't have another one. Thanks.
Glenn J. Chamandy - Gildan Activewear, Inc.: Thank you.
Operator: And at this time, we have no further questions.
Sophie Argiriou - Gildan Activewear, Inc.: Thank you, everyone. Again, I'd like to thank you for joining us this morning. This concludes our call and we look forward to speaking to you soon. Have a great day.